Operator: Good afternoon and welcome to the Equinix Q1 2009 results call. (Operator Instructions) I'd like to turn the call over to Jason Starr, Director of Investor Relations. Sir, you may begin.
Jason Starr: Good afternoon and welcome to our Q1 2009 results conference call. Before we get started I would like to remind everyone that some of the statements that we'll be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our Form 10-K filed on February 26, 2009 and Form 10-Q filed on October 24, 2008. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it is Equinix's policy not to comment on its financial guidance during the quarter unless it is done through an explicit public disclosure. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix Investor Relations page at www.Equinix.com. We would also like to remind you that we post important information about the company on the Investor Relations page of our website. We encourage you to check our website regularly for the most current information. With us today are Steve Smith, Equinix's Chief Executive Officer and President, and Keith Taylor, Equinix's Chief Financial Officer. At this time I'll turn the call over to Steve.
Stephen M. Smith: Thanks, Jason. Great to have everyone on the call today and thank you for joining us. We are excited to report a strong first quarter result across all three regions during a time when the economy continues to be challenged. Our revenues in the quarter were $199.2 million, which absorbed $1.1 million of negative currency impact from our guidance we provided on our last call. Our adjusted EBITDA in the quarter reflected the significant operating leverage of the model as we controlled expenses and delivered $91.4 million, well above the top end of guidance. As we noted on the last call, we have a strong plan for growth in 2009 - 23% at the midpoint of guidance, which we're maintaining after a solid first quarter. We also mentioned that in our plan we had the flexibility of built-in circuit breakers that we could trigger on our spending should our results from the first quarter and visibility into the second quarter not develop as anticipated. With our first quarter results behind us and continued strong pipeline, we're on our way to hitting the objectives of our plan and see no need to trigger any of these circuit breakers at this time. Our sales organization around the globe has done a great job this quarter in closing many of our late-stage pipeline opportunities, with our Q1 bookings coming in above plan. Importantly, these deals have been completed within our targeted pricing ranges. We also saw a solid uptick in new customers won in the quarter, which came in at 161. I should note that the bookings were somewhat back end loaded in the quarter as we saw a significant pickup in the month of March. Also, our team has worked well with our customers in providing them the flexibility to help address the challenges they face in this environment. Specifically, we worked with certain customers to create a plan to ramp their installations into our IBXs over time. Again, a solid bookings quarter and at strong price points, but these factors will have some impact on our average book-to-bill intervals for our revenue, which is built into our guidance. We are also doing a very good job of communicating the value of Equinix's network dense IBXs and the proximity to other customers within those IBXs. Our customers reduced both capital and operating expenses by deploying within our data centers. This all indicates that we are still benefiting from our unique value proposition, global reach, and balance sheet strength, as well as expansion strategy, which is capitalizing on strong demand for our services and a continued supply imbalance in our industry. As a result, it's quite clear to us that the opportunity to invest in our core business is still very attractive. And while we remain quite frugal on the expense line, we also recognize that when this current economic environment improves the investments we make today in our capacity, people, processes and systems will enable us to be much better positioned than any of our competitors to serve the needs of our customers and prospects in the future. At a time when many are unable to make these types of investments, we believe our increasing scale on a worldwide basis provides Equinix with a tremendous longer-term competitive advantage. So let me stop there and ask Keith to summarize our Q1 results.
Keith D. Taylor: Thanks, Steve, and good afternoon. I'm pleased to provide you with our first quarter financial results, both measured against our expectations and after assessing the impact of our foreign currencies on these results. Also I'll give you some color on the key trends as we look towards Q2 and the rest of 2009. Addressing our key operating metrics for the quarter and the rest of the year, let me first start with the revenues. Our Q1 revenues were $199.2 million, a 4% quarter-over-quarter increase reflecting the continued benefit of strong demand across all three of our regions. Europe revenues increased to $47.8 million, a 6% sequential improvement, while Asia-Pacific increased to $26.5 million, a 10% increase over the prior quarter. As Steve mentioned, we saw solid bookings performance across all three regions, yet the U.S. revenues were impacted by a disproportionate amount of bookings in the last month of the quarter. This, coupled with a longer book-to-bill cycle, affected the quarter-over-quarter growth rate. Fluctuations in foreign currency exchange rate negatively impacted our Q1 revenue by $1.1 million compared to the rates assumed in our Q1 guidance. Additionally, assuming the Q1 exchange rates were constant with the rates in effect in Q4, our quarterly revenues would have increased by $1.8 million to $201 million. Looking forward, we expect the U.S. dollar will continue to approximate 65% of our revenues, while the euro and pound sterling should approximate 14% and 9% of our revenues, respectively. As a reminder, all other currencies are individually 5% or less of our expected revenues, both for Q2 and 2009. For our Q2 and total year guidance we're assuming exchange rates of $1.33 to the euro and $1.45 to the pound. Looking at churn, for Q1 our global MRR churn rate was 1.5%. For both Q2 and Q3 we expect our churn level to be at the top end of our target range of 2% per quarter. The Q2 and Q3 churn will provide us additional capacity in the Silicon Valley market, a market we believe will be constrained in the latter half of the year. Also, we believe we'll be able to substantially improve the revenues and margins attributed to the space that will be recovered. Looking at gross profit and margins, the company recognized gross profit of $87.4 million for the quarter. Our gross margins about 44%. Our cash gross margins were 64%, slightly above our expectations for the quarter, the result of continued fiscal discipline related to our discretionary costs. During the quarter we saw strong cash margins across all three of our regions, although Europe was impacted by the seasonal increase in utility rates, as expected. Also as a reminder, the European revenue model is different than the models in either the U.S. or Asia-Pacific regions whereby for all intents and purposes power costs are passed through to the customer with a slight margin. The EU region derives its profit objectives through colocation and other services. Looking forward, we expect our Q2 and 2009 cash gross margins to range between 62% and 64%, consistent with our original expectations despite our continued expansion activities in each of our regions and higher lease costs related to our L.A. 1 Phase 2 build. Looking at revenue per sellable cabinet, we've provided a summary table of this and other key non-financial metrics on our Investor Relations website for each of the three regions by quarter. Starting on the Q2 earnings call, we will no longer report a blended revenue per cabinet for the organic business, being the U.S. and Asia-Pacific, and will instead report revenue per sellable cabinet equivalent - or [Cab-Es] as we refer to it - for each of the three regions. This will avoid some of the impact of regional waiting and currency fluctuations. The weighted average price per Cab-E in the U.S. was $1,858 versus $1,816 in the prior quarter, a 2% quarter-over-quarter increase. In Asia-Pacific our weighted average price per sellable Cab-E was $1,331 compared to $1,272 last quarter, an almost 5% quarter-over-quarter increase. This reflects the impact of strong pricing across the region despite some unfavorable currency trends in Australia and Singapore, continued growth in the Asia-Pacific interconnection services line, and strong revenue performance in our Hong Kong IBX. With respect to Europe, our weighted average price per sellable Cab-E was $886 compared to $858 last quarter. This rate reflects four key factors - one, lower interconnection revenues in Europe; two, a basket of price points per sellable Cab-E over five countries; three, a strengthening U.S. dollar over the last six months; and four, power density per average cabinet with a pass-through power revenue model in Europe. As previously mentioned, our short-term adjusted EBITDA margin objectives for the European region is 10 percentage points lower than the U.S. The 3% quarter-over-quarter improvement is in part due to continued supply constraints in our European markets. Finally, one quick side note on the European revenues. European interconnection revenues declined to 3% of recurring revenues, which reflects the reclassification of certain bandwidth services to our managed infrastructure services revenue line. Now looking at SG&A, SG&A expenses for the quarter were $49.5 million. Cash SG&A expenses for the quarter were $35.9 million or 18% of revenues, better than our expectation and another proof point that the company continues to manage its discretionary spend across many of its key corporate lines, including headcount and professional services fees. Looking forward we expect some of the Q1 SG&A savings to be spent over the remainder of the year, although we'll continue to moderate our spending to ensure we meet or adjusted EBITDA targets for the year. Moving on to net income and adjusted EBITDA, for the quarter we generated net income of $15.5 million after recording an income tax provision of $11.6 million in the quarter. Basic and diluted earnings per share were $0.41 and $0.40, respectively. On a weighted average basis, there was 37.9 million basic and 38.7 million diluted shares outstanding in the quarter. The diluted share count is substantially lower than the 43.8 million shares used to calculate the result in the fourth quarter. The reason for this is that our Q4 result included an $88 million tax benefit which required us to include the 5.7 million shares attributed to our convertible debt in the diluted share count. With our Q1 earnings now normalized, most of these shares are not included in our calculation as it would be considered anti-dilutive. Looking at our income taxes, the effective income tax rate for the quarter is 42.9% and we expect the effective income tax rate for the rest of the year will be in this range. Although the majority of the tax provision will be non-cash, we do anticipate paying some cash taxes in 2009, such as the U.S. federal AMT, some California state tax, the result of a temporary suspension of California NOL utilization, and some cash taxes related to unsheltered profits in certain European subsidiaries. We continue to believe we'll not pay any meaningful cash tax in 2009 or 2010 and this may even extend into 2011. Looking forward, once the company is a full taxpaying entity over all of our tax jurisdictions, which we expect to occur in 2011 or later, we believe our effective tax rate will range between 35% and 40%. Our adjusted EBITDA was $91.4 million for the quarter, including an approximate $500,000 negative impact from foreign currency fluctuations from our guidance rate. Adjusted EBITDA for the quarter on a constant currency basis versus Q4 would have been approximately $800,000 higher. Turning to our balance sheet and cash flows, at the end of Q1 our unrestricted cash balances totaled $284 million, a $24 million decrease compared to the prior quarter, yet a higher balance than expected given our strong operating performance, excellent customer collections, and lower than planned capital expenditures. Also during the quarter we liquidated approximately $34 million of accrued construction costs. Looking forward, we continue to believe that our current cash balances, coupled with the expected 2009 operating cash flows, will fully fund all of our announced expansion projects and still enable us to exit 2009 with over $200 million in unrestricted cash. One final note related to our cash balances. As was noted on previous calls, we placed some funds in the Reserve Primary Fund, the money market fund that [inaudible] in September of 2008. During the quarter the Reserve Fund announced their intent to maintain $3.5 billion of assets to settle their legal obligations and claims. As a result, we adjusted the net anticipated recovery to $0.917 per $1 of investment. Because of this decision the company recorded an additional loss of $2.7 million related to this asset. This loss is reported in the other income and expense line on the income statement. As of last Friday the remaining balance outstanding related to this asset is $897,000 on our balance sheet. Next, moving on to some comments on cash flows, first, our net cash generated from operating activities was $86.7 million for the quarter, a 14% increase over the prior quarter and a 95% correlation to our adjusted EBITDA. The company continues to remain highly focused on cash collection activities in each of our three regions, ultimately reducing our global DSO metric by 4 days to 27 days this quarter. We also continued to manage the outflow of cash related to our vendor obligations. Looking forward to Q2 and the rest of 2008, we anticipate we'll continue to generate strong operating cash flows consistent with our expected adjusted EBITDA performance. Cash used from investing activities was $77.9 million for the quarter. Our capital expenditures were lower than expected, at $75 million due to design delays related to our L.A. 1 Phase 2 expansion and permitting delays related to our Paris 3 project. In both cases we have not changed our estimated cost of construction. Cash used from financing activities was $3.6 million for the quarter, including the paydown of $8.2 million related to our debt facilities. For the year, we continue to expect to repay term debt and capital lease obligations totaling approximately $55 million. As mentioned on the last call, we still intend to extend the 2010 maturity date of our $110 million Chicago IBX construction loan, as provided for in the terms of the loan agreement, by two 12-month extensions, brining the final maturity date to 2012. Looking at our end of quarter leverage ratios annualizing our Q1 adjusted EBITDA, our gross leverage ratio was 3.3 time or 2.6 times on a net basis and currently lower than our planned range of 3 to 4 times adjusted EBITDA on a net basis. Finally, with respect to our equity balances outstanding we had approximately 37.9 million shares of common stock outsourcing at the end of Q1. This number excludes the 5.7 million shares related to our convertible debt and the 3.8 million shares related to our employee stock plans and other warrants. Let me turn the call back to Steve.
Stephen M. Smith: Thanks, Keith. I'd like to now provide you a brief update on activities in each of our three operating regions. In the U.S. market we saw a rebound in our bookings which landed just above our expectations for the quarter. We saw in excess of 80% of these bookings come from our existing customer base and an increase in total new customers added in the quarter. Our sales cycles remain longer than historical rates but have started to stabilize, and the conversion rate of the later stage pipeline is improving. The overall pipeline is also very healthy, with good coverage for our second quarter targets. U.S. revenues for the quarter were slightly impacted from lower Q4 bookings, back end loaded Q1 bookings, as well as the installation ramps we outlined earlier. Cash gross margin and adjusted EBITDA margins remained very strong at 69% and 50%, respectively. Pricing across cabinets, power and cross-connects are holding steady. With our interconnection business in the U.S., we are now up to 23,150 cross-connects and added 35 new 10 gig ports to our Equinix exchange platform. Expansion plans in New York, L.A. and downtown Chicago remain on schedule, which is important as we are constrained in all three of these markets. And of course Dallas still has limited capacity, but remains one of our top IBXs for interconnection. Lastly, in the U.S. from a vertical industry perspective, we are continuing to see strength in bookings from the network segment, with double-digit growth sequentially. Within the financial services industry we are also continuing to experience strong demand from the electronic trading venues to be able to connect to exchanges of all asset classes at the lowest possible latency. And we believe that Equinix will continue to be the supplier of choice for these firms due to our network neutrality and density, strong operating performance, and growing industry knowledge and relationships. The U.S. team continues to execute well on all fronts as we continue to navigate through this difficult environment. In Europe we had a fast start to Q1, with solid growth in both our MRR and adjusted EBITDA, while bookings came in above plan. Overall our pipeline looks strong, with good coverage for our Q2 bookings targets. I should note that this bookings success has us facing some capacity constraints in half of our markets, particularly in Paris and Amsterdam, so our expansions there will be important for our '09 plan as they come online later this year. Cross-regional deal flow into this region from the U.S. and Asia continued to grow and accounted for approximately 16% of our bookings, again highlighting the advantage Equinix has in serving global customers. We are also making very good progress with the diversity of revenue by industry vertical, now with approximately 30% in both network and enterprise segments. Financial services were 28% of revenue and digital media at 11%. Our interconnection strategy in Europe is taking hold. We've completed a baseline audit of our cross-connects and have just under 6,900 billing at this time, which is up 36% year-over-year as electronic trading and Internet peering continue to grow in our customer base. In addition, customers signed up for four new Equinix exchange ports in Europe this quarter, for a total of 75. This number excludes just under 40 ports sold with the independent exchanges who have partnered with us. Keep in mind that the nature of these partnerships limits our interconnection revenue for these ports, yet still delivers a great deal of value to our customers and the network density in our European data centers. Our outlook in Europe remains optimistic for the remainder of 2009 and we will continue to invest in this region behind a leadership team that is executing very well. And oh, by the way, the team just received recognition today as the best Pan European data center operator at the Data Center Europe 2009 conference. In the Asia-Pacific region, our financial performance was ahead of our expectations with revenues improving 10% sequentially. We saw very strong performance in cash gross margins and adjusted EBITDA due to the higher fill rates in our IBXs and good management of resources and expenditures. We had another good quarter of bookings and low churn despite inventory constraints in Singapore and Hong Kong. We expect these constraints to be alleviated when our expansion projects in these markets open in the third quarter, which will add almost 1,000 cabinets in the region. Our customer base continues to be balanced between all four of our industry verticals in this region, with the network density increasing and digital media segment seeing the highest growth in the quarter. Just some notes on Asia's interconnection. Interconnection remains constant at 9% of MRR, with 18 new peering ports and approximately 10,800 billed cross-connects in total. Finally, the business outlook for us in this region remains solid for the remainder of 2009 as market demand for carrier neutral data center space continues to outstrip supply. So now let's take a look at our expectations for the second quarter and the rest of 2009. First, as you know, we have a number of expansions that are scheduled to come online in the later half of the year. As in prior years, the planned delivery of this capacity plays a role in our second half revenues. In addition, the back end nature of our first quarter bookings will have an impact on the timing of recognized revenue. A full quarter's value of this revenue will not be seen until the third quarter. And, of course, we'll continue to watch this economy and the impact it has on our customers' buying decisions and/or financial stability. Any of these factors may affect where we land within our guidance range. With this color on how I see the year unfolding, we're maintaining our expectations for 2009 revenues to be in the range of $855 to $875 million on a constant currency basis. We expect cash gross margins to range between 62% and 63%. Cash SG&A is expected to be in the range of $160 to $170 million or 19% at the midpoint. We're tightening our adjusted EBITDA expectations to $370 to $385 million, with the midpoint up slightly to $377.5 million. Our 2009 CapEx guidance is also unchanged at $325 to $375 million, of which approximately $60 million is expected for ongoing CapEx. This range includes up to $90 million in unannounced expansion CapEx. We'll provide more color on this at our analyst day in a few weeks. For the second quarter revenues are expected to be in the range of $206 to $210 million. Cash gross margins for the quarter are expected to range between 63% and 64%. Cash SG&A is expected to be approximately $39 million. Adjusted EBITDA is expected to be in the range of $92 to $94 million. Total CapEx for the quarter is expected to be between $110 and $120 million, which includes approximately $20 million in ongoing CapEx. So as you can see, a great start to the year with our first quarter results. In addition, our leading indicators and business fundamentals remain strong, even in the face of the continued economic downturn. As you know, we reset our priorities last fall with a flexible 2009 plan to face the new reality and are executing on both our top and bottom line objectives. Historically, great companies have excelled in tough times; in the tough times customers increasingly turn to great companies. This is the reason we will continue to invest in our core business in a disciplined and measured way. We believe the combination of favorable industry trends, our unique operating model, and the capacity to serve our customers on a global basis will continue to provide a sustainable differentiation throughout 2009 and beyond. We're looking forward to discussing this further at our investor analyst day early next month, where we'll have the opportunity to provide you deeper insights into our future direction. So with that, [Mary], I'd like to open it up for some questions.
Operator: (Operator Instructions) Your first question comes from Jonathan Atkin - RBC Capital Markets.
Jonathan Atkin - RBC Capital Markets: I've got one clarification on churn. Keith mentioned at the very beginning churn may be picking up in Silicon Valley and if you could maybe clarify some of the factors behind that and what sorts of customers are leaving. And then with respect to the pricing commentary, is spot pricing pretty much stabilizing or would you still characterize it as maybe increasing in some of your regions? And from a competitive standpoint, is the delta between your pricing and those of your competitors staying the same or is that contracting or expanding somehow?
Keith D. Taylor: Jon, let me at least take the first one on churn and then either Steve or I will take the one on pricing. Churn, not inconsistent with what was said in the past, there are still a few large installations in our IBXs and in one case there is going to be a churn related to one of our Silicon Valley properties. It is an old legacy account, low price. I don't want to talk specifically about who it is, but they will be churning out over the Q2 - Q3 period and that's going to allow us to reclaim the space and basically give us the advantage of getting space back in what we think is going to be a very constrained market. And then, two, the price point that this particular company was at was extremely low and arguably one of the lowest price points that we have in our customer portfolio. And as such, once we replace that revenue we expect to see a meaningful uptick in revenue coming out of that particular IBX. But overall when we look at churn, again, I want everybody to be clear, we're still talking about 2% per quarter, whether it's Q2 or Q3, and that takes into consideration some of the early stage companies. As we've said in the past, particularly in Silicon Valley there's a lot of venture-backed companies here and with venture-backed companies we anticipate a slightly higher churn in Q2 and Q3 and so we've reflected that in our guidance numbers. So hopefully that answers your question there. But again, for the year I think we're still in the 8% range and that is consistent with our guidance.
Stephen M. Smith: Jonathan, I think we caught the second part of your question. I would say it's safe to say in this type of environment that the rate of pricing increases is probably moderating, but for us it's holding pretty firm, as we mentioned, around the world. And I would tell you that we're managing that pretty tightly. And as we told you, we're being very flexible with our customers in terms of ramps and helping them to make decisions to start installing in our IBXs. So that'll have an effect, what I'm mentioning, in terms of bookings late in the quarter and then the ramping of that revenue. But in general our team's done a very, very good job holding pricing and we're selling value. We're not rushing to cut prices. We're selling value and we're selling cost justification, which is a very critical shift for us in this kind of market.
Keith D. Taylor: If I could just add one point, Steve and I on a very regular basis talk about this in our public venues. Our general view as a company and with the management team, we take the position that we are not willing to trade off price for volume. We'd rather be very judicious, particularly given the number of constrained markets that we have and how we're deploying our capital, that we're not going to rush to replace capacity with lower pricing deals. So we'll continue to focus on that as we go forward through 2009.
Jonathan Atkin - RBC Capital Markets: Okay. And then on margin, is there any notably different trends that you're expecting across regions in terms of the ramp and margins or is it going to be kind of a similar trend line in each of the three areas?
Keith D. Taylor: Well, we're certainly making a large investment in our European market. We're making a meaningful investment in Asia as well. So when you look at the margin profile, where the U.S. is between 50% and 51% today, we're thinking of our long-term. And I'm referring to adjusted EBITDA. That margin profile, we're already well into the zip code or higher than the original zip code we thought, which was 45% to 50%. So I think you're going to continue to see the benefit of us selling more capacity in the U.S. market and so our margins should improve because you're operating off a fairly fixed base. Where I think you can get the benefit is certainly on the European market as we continue to deliver more capacity. We think that the margin profile should get up into the 40% range just to start with. And then, when you look at Asia-Pacific, they've done just an absolutely stellar job and they're up around 45% adjusted EBITDA margins today. They need some more capacity. They're going to leverage off that invested base. I would think that you're going to see margins continue to operate favorably, with the one caveat. We're introducing a number of new expansions this year and with that's going to come incremental cost, not to mention some of the investments we're making in our IT infrastructure and also in our marketing area. So when we look at all of that together we're still very comfortable in maintaining our guidance range of 62% to 64% on the [cash flows] margin line and you have a pretty good idea of what we're guiding you to on the EBITDA line at a midpoint of $375 million of adjusted EBITDA this year off a midpoint of revenue of $865 million.
Jonathan Atkin - RBC Capital Markets: And then real quick on enterprise, that's a fairly broad category as you define it. The system integrator and reseller portion [inaudible] is that becoming a bigger piece of the pie relatively or smaller or is that kind of holding steady?
Stephen M. Smith: I'd say it's holding steady, Jonathan. We did see in the bookings this quarter a couple percentage increase in enterprise activity, but generally we're running on a worldwide basis about 36% of the revenue for the company, MRR for the company, in that space versus roughly 27% network and I think it's 19% in [inaudible] and about 18% in content, digital media.
Jonathan Atkin - RBC Capital Markets: But the parts within enterprise as well are holding steady?
Stephen M. Smith: Yes, the reseller stuff, it's active. We've got some of that activity in each of the regions. But I would say color on that is it's pretty steady. It's not up or down in the quarter.
Operator: Your next question comes from Michael Rollins - Citigroup.
Michael Rollins - Citigroup: I just had a few questions for you. The first question I had was if you could talk about when you look at the possibility for new builds in constrained markets, can you talk about what you're thinking about these days and how you're looking at it and if your decision points have changed given the tougher economic backdrop? The second question that I had for you is if you look at the colocation revenue in the domestic business, it looks like the revenue per cabinet per month came up about 12.5% year-over-year and I'm wondering what percentage of that you would appropriate to power density versus price increases? And then the final question I had is if you could just talk a little bit about the interconnect trends, particularly in the U.S., the volume versus the revenue and how we should think about interconnect revenue going forward?
Stephen M. Smith: Let me start with that and Keith, you can add some color. On the constrained market decisions, no change at all in the type of returns we're looking for, Mike. We're still following the same fill rate analysis. We're looking at competitive analysis. We're studying fill rate much closer now, as you might expect, but we're still meeting on a regular basis, every two weeks. We look at all markets around the world. We're paying particular attention to the network dense downtown markets because that's where most of our network and financial services activity, because of the latency demands, are interested in space. So we have a much tighter microscope on these decisions now, and most of those are the constrained markets. But I would tell you in terms of returns, in terms of decision criteria, nothing's changed. So we're attacking the constrained markets in the same manner. The interconnect, let me give you my view on the interconnect. Keith can add some color there and give you some insight on the revenue per cabinet in the U.S., but on the interconnection in the U.S., we're going to grow it in the other two regions as you know, so we've got stated objectives in Asia and Europe to grow the interconnection. It's on a smaller scale. It's a little bit easier task relative to the U.S. Historically, as you know, in the U.S. the reason it's primarily slipping is because the rate of growth in the colo business, the scale is starting to set in and the rate of growth is starting to outweigh the growth in interconnection. We're still focusing on the cross-connects and on the ports on the switch. We still have programs, initiatives, incentives for the sales force to focus on it, so there's no let up in our focus on that part of the business. It's merely tied to the size of the growth in the colo part of the business; it's just starting to scale past.
Keith D. Taylor: Just continuing on with Steve's comments there, I think it's also important to note that when you look at our interconnection growth rate, there's a number of key markets in what we call our core downtown centers that we're out of capacity in such as, you know, Dallas, as an example. L.A. is another example; Chicago, which has a higher density interconnection activity. And for all of these reasons you're seeing colocation run at a faster clip than you are on the interconnection revenue. So overall, there's still a lot of focus. We're driving the ecosystems and we've got certainly teams focused on continuing to grow that particular line, both on a revenue and on a per unit basis. The other thing that you brought up, Mike, was power and pricing per cabinet. When you think about, again, our overall service offerings, we have colocation, which is space and power, we have interconnection, and then we have managed infrastructure services. And each market's slightly different, but roughly 95% of our revenue reoccurs, as you know, 5% - in this month it's actually 4% - of our revenue is nonrecurring. So when you take the recurring revenue, break the colo down, it's north of 80% - 81%, 82% are colocation. Roughly 50% of that is power. And so certainly as customers continue to grow with us, particularly when you look at the U.S. side of the equation, they are going to buy more power per average unit than they are in the other markets, both in Asia and in Europe. And that's a general statement, because any one customer could have a different deployment. So because of that, power revenue there is going to be an increasing piece of the revenue per cabinet. Now the 12% growth that you referred to on a year-on-year basis I think it's best to describe it that we as a business are looking for a 3% to 5% annual price increase and the rest therefore is going to come from our service offerings, more cross-connects per average cabinet, more power per average cabinet. And hopefully that gets to the point you're trying to address.
Stephen M. Smith: Higher density will affect that, too, so as we do more higher density deployments, that'll affect it, Mike. But one last thought on the interconnect to see if we answered your question here. I think Keith and I and the rest of the leadership team expect that as we continue to deploy more and more of the electronic trading platforms, over time we expect to see more cross-connects and we think that will also start to impact in a positive way the interconnection line.
Michael Rollins - Citigroup: And just a follow up with two questions on what you described. So first just on the interconnection piece, just to finish up, U.S. revenue's sequentially down a little bit, but the volumes were up, so is there something going on in terms of the mix of the business that we should be thinking about and is this an area so if you had to say this is a growing revenue, a stable revenue or a shrinking revenue with interconnection in the U.S., how would you describe that - I'm sorry, I guess there's three questions. And then the third question I want to just follow up on, when you talk about the 3% to 5% annual price increases, so even in this current pricing environment and the competitive environment, is that your expectation that pricing on a per cabinet for colo should grow on average 3% to 5% over time?
Keith D. Taylor: So answering your last question first, yes, we still generally believe we can get 3% to 5% pricing on our average cabinets. You're seeing the growth and certainly when you look across the regions we continue to see that we have the opportunity to command a higher price point. We are being disciplined as an organization, particularly as a sales organization, and how they're comped. It is about driving value into the equation, and so we are comfortable in doing that. And very much to my earlier point when we have this customer churn that we're going to experience over Q2 and Q3, we're going to be able to raise the revenue attributed to that environment and it is a fairly meaningful environment by over 100%. And so when you look at that and you add that to the equation, these are the things that we continue to benefit from and we think we can get our averages up 3% to 5%.
Stephen M. Smith: And Mike, I'm not sure I understood the added interconnection question other than are we continuing to be focused on both exchange and selling cross-connects, and the answer is you know we did the repricing on exchange, we described that to you, and that has taken hold. So we're upgrading to 10 gig at a pretty strong pace, so we're seeing an uplift there. That's part of the answer. And as I mentioned earlier, we're going to start seeing the positive benefit of deploying matching engines around the world and as members need to connect to these engines, but I think that's still out in front of us in terms of a big number.
Operator: Your next question comes from Mark Kelleher - Brigantine Advisers.
Mark Kelleher - Brigantine Advisers: Could you talk to the degree to which you're capacity constrained in the U.S.? You ticked up to 81% capacity utilization. How much is that affecting your growth? And then can you just kind of confirm that we're still looking at 1,100 cabinets for New York, four coming on in the June quarter and 800 more in L.A.? And just to kind of tie onto that, did the design delays that you were talking about in L.A. push out the builds at all there?
Stephen M. Smith: Yes, the capacity constraints, Mark, are still in really four of the six markets. It's in Chicago and particularly downtown Chicago; it's Dallas, as I mentioned; it's in L.A., and it's in New York. And so those are the four markets. And as you just said, it's just under 1,100 cabs we're bringing on towards the end of April - Phase 2 of New York, which will start to address the New York capacity constraints. We're still aiming at call it late July for the L.A. 4 - 800 cabs - and so that'll come into play at that time. And we mentioned to you guys on the last call we're bringing a couple of hundred cabs on in Q3 in downtown Chicago and also doing some work in downtown L.A. that'll bring some more capacity on. The timing of this is going to work well for us. Our inventory is low there now. Our fill rate is pretty high and so we're managing it very, very closely. We call it internally a restricted state. We're very, very select in who we put into those centers.
Mark Kelleher - Brigantine Advisers: So the design delays you mentioned in L.A., those aren't affecting any timing issues?
Stephen M. Smith: No.
Keith D. Taylor: That was predominantly - that's our L.A. 1 Phase 2 and it's really a Q4 deployment. And because of that there's very little revenue that we attributed to this particular year. Having said that, we want to get it up and running as quickly as possible so we can start to affect revenue in 2010, but no meaningful impact for 2009.
Stephen M. Smith: And I think if you combine these capacity in the U.S. as well as the other two regions, you'll see that we'll put ourselves in a better position to start ramping revenue in the second half of the year.
Operator: Your next question comes from Christopher Larsen - Piper Jaffray.
Christopher Larsen - Piper Jaffray: A couple things. The obvious is that sales expenses were down sequentially. Is that really just a function of bookings coming in the second half of the quarter or the tail end of the quarter and that we should see a little bit of a ramp in sales expense into 2Q as those customers go online? And then, Steve, the delay in bookings, is that really more of an economic issue? And then I have another one in terms of we've noticed that a lot of carriers out there had sort of incompletely funded some facilities. Are you seeing any of those half-finished facilities for sale that would suit you should the capital be available to buy them?
Stephen M. Smith: Yes, Chris. On the first question on the sales expenses, part of it is tied to later quarter bookings and so you didn't have as much activity in the first two months in terms of commissions, etc. Also, as I think Keith and I have mentioned before, the big branding push that was in the last couple of quarters we did not have in this quarter, so that spoke for a big part of that dropdown in sales expenses. On the carrier front, it's not just carriers. We actually have seen less than a handful, I wouldn't call them distressed but partially built out centers, and we've looked at a couple around the world. We haven't seen anything yet that meets our requirements, but it's safe to say that there's been a couple that have popped up last quarter and we looked at one this quarter. So they're out there; nothing, though, that meets the requirements we look for in these types of centers, so nothing on the horizon for us on that front. And your second question, Chris?
Christopher Larsen - Piper Jaffray: Yes, the delay in bookings at the back half of the first quarter, is that something you attribute to the economy?
Stephen M. Smith: Yes, I mean, partially. We had a soft Q4, as you know, and so I think a lot of the decision makers, certainly with new customers and some existing, but predominantly with new customers, were waiting until they got out of the gate further in January. Some of that slipped to February. And I think we started to see confidence show up back with decision makers back in March and so we had a pretty big step up in the month of March. So I wouldn't tell you that we've seen a trend here, but we feel good about what the pipeline's showing us and we feel good about some of the decisions that weren't made in the fourth quarter that did get made in the first quarter. So there's a lot of positive signals here, but we're early days into this thing and, like I said, we landed where we wanted to land because of the good first quarter, but it was very heavily back loaded. And that's just, yes, you have to tie some of that to what's going on in the market.
Operator: Your next question comes from Greg Mesniaeff - Needham & Company.
Greg Mesniaeff - Needham & Company: I'm wondering if you can give us some color on your potential for additional leverage on the SG&A line in Europe or, alternatively put, how do you see your expense profile evolving in that market?
Keith D. Taylor: When we go back a year and a half ago when we acquired the Europe asset, we recognized that it was not going to be a synergistic opportunity for us. We were going to have to invest heavily because it was a staging ground for something much bigger than what we acquired. Because of that we have continued to make meaningful investments in the SG&A line in Europe and, for that matter, in the U.S. as well and probably less so in Asia-Pacific. And, Greg, I'd tell you that as we look forward, given the opportunities and the amount of growth that we're experiencing in the European market, that you will continue to see us make incremental investments. As such, I would expect and it is embedded in our guidance that SG&A is going to continue to increase. We guided $160 to $170 million for the year. When you annualize our Q1, you're basically just about $144 million and so from that perspective it gives you a sense that we will continue making investments across many of our markets, but in particular Europe.
Greg Mesniaeff - Needham & Company: And then did you disclose any 10% or greater customers?
Keith D. Taylor: We have no customers greater than 4%.
Operator: Your next question comes from Sri Anantha - Oppenheimer & Co.
Sri Anantha - Oppenheimer & Co.: Steve, I know there's clearly demand/supply imbalance that's still there in the market and that seems to be certainly helping the pricing, but with credit markets seeming to be opening up slightly on the margin here, do you see increased competitive builds in some of your markets and, if that were the case, would there be any impact in customer decision-making cycles, especially with enterprises who seem to be having a different type of sales cycle compared with your Internet services and network service providers?
Stephen M. Smith: Well, Sri, it's safe to say we don't see any big change. We know where all the competitive builds are going on in each of our markets, so we have very good intelligence, public data intelligence, that tells us what's going on there. I would tell you that we're still hearing and seeing signs of people in this business having a difficult time to access capital, which I think is still providing constraints in the market. And I think with our self-funding position it puts us in a really good spot to communicate to our customers where we're building and we're building on their behalf. So I think in general there's no surprises in terms of supply/demand imbalance. We know the factors across all 18 markets that we're in. And there's no new shifts. Some markets are more competitive than others. We know that. Price pressure in that market probably shows up a little bit more. We see that in the pipeline. But in general it's no big change quarter to quarter in terms of new build activity that's causing us any pain.
Keith D. Taylor: And Sri, if I could just add on something in addition to what Steve said, recognizing that people might have access to capital but you can't count on that, number one. And then number two, the lead time to put up a new asset is still fairly substantial. The long-lead items such as generators, that is obviously much shorter today than it used to be, but still all that said it's going to take you a good 12 to 18 months to put up an asset. So from our perspective, if somebody goes out and raises capital we're not going to see any competitive threat against that asset probably well into 2010 now if not a bit later.
Sri Anantha - Oppenheimer & Co: And Keith, when I'm looking at European revenues, I think last quarter European revenues declined sequentially and I think you indicated on the call much of that was primarily due to currency fluctuations. But let's say if we were to adjust 4Q revenues for the currency, it appears that European revenues grew at the slowest rate in 1Q. Is there something going on there or is it just more timing related here?
Keith D. Taylor: There's a couple things. Number one, when you look at Q4 revenues you have to adjust - it actually grew Q4 over Q3 11%, okay? And then when you look at the impact on currency, the majority of that currency impact is in the European market. A pound sterling deteriorated roughly 8% between Q4 and then our average rates in Q1. So the European market is growing at a very nice clip. And the fact of the matter is our slowest growth was actually in the U.S. And in the U.S., again, Steve sort of hit it a number of times but it is about delayed bookings, our flexibility with the customer and the fact that we're constrained in a number of markets and we desperately need some of these assets to come online, such as our New York 4 Phase 2 asset to come online, so we can continue to sell. It's not just about selling. It's taking that sale, that booking, and turning it into a revenue dollar.
Sri Anantha - Oppenheimer & Co: And, Keith, with respect to interconnection pricing, I know last quarter you mentioned for some of the [inaudible] there was a little bit of repricing of your customer base. Are we through with that completely and what do you see the pricing trend for the [inaudible] ports going forward?
Keith D. Taylor: No, we're not through it. You can see it reflected in our U.S. interconnection revenues. We're getting through it and the company continues to operate with the view that we want to continue to execute against these ecosystems. And so our general view is whether it's the cross-connects or whether it's the ports, we want to continue to sell. Our general view is we're at the market price points today across all of our service offerings in the interconnection revenue line and we think we can continue to execute against that, but we have to get through this repricing phase and our sales organization is working hard with the customers to make that happen.
Stephen M. Smith: It's safe to say, Keith, that the data on new ports and upgrades to 10 gig is still very strong, so I don't know how you'd categorize whether we're in the early stages or middle stages, but we're still in the middle of this thing. We have plenty of runway left here.
Keith D. Taylor: What's interesting, Sri, is if you look at our bandwidth traffic, we now have the ability - we're roughly at 300 gigabytes in the U.S. where last quarter we were roughly 255 gigabytes, so the value that Steve alluded to earlier on that we're creating for our customers irrespective of where the price points are and the amount of revenue we're generating from interconnection is certainly translating into continued growth and also very favorable margins in our business.
Sri Anantha - Oppenheimer & Co: I know, Steve, when we previously asked you guys about potentially [diversifying] your revenue, I know you guys have talked about just focusing on colocation, that's pretty much it. But now, with the rate of growth moderating, has your thinking process changed with respect to potential diversifying into managed services?
Stephen M. Smith: No. No. I can tell you as far as I know there's nobody working on a managed services agenda here, so we're very, very focused on our core competence, which is colocation/interconnection, and we're expanding that deeper into the current ecosystems. We're looking for another ecosystem. We're pushing hard on the interconnection space. There's plenty of demand, there's plenty of upside and plenty of work for us to do in our core space.
Operator: Your next question comes from Winston Lin - Goldman Sachs.
Winston Lin - Goldman Sachs: In terms of pricing, what kind of premium are you getting now relative to your peers' new data center space coming online and has that spread increased over the last quarter? And what about the legacy data centers that have the more mature interconnect offerings? How big is the premium and how has that changed?
Keith D. Taylor: Good questions. Our general view is it's tough for us to compare ourselves against our competitors because, again, we don't generally know their price points. We hear anecdotally through our customers and industry groups. But our general view is we're 20%, 30% and, in some cases, 40% more expensive than our peers, and we continue to maintain that. Again, we don't want to trade off volume for price and I think that in some cases our competitors have done that. All that said, we want to continue to be a premium-priced provider. We offer the services and the reliability to do that. And it really is about value. So hopefully that addresses your point, at least on a price point basis. And so, Winston, what was the second question?
Winston Lin - Goldman Sachs: Just comparing the kind of premium you get in the new data center space versus the legacy data centers with the more mature interconnect offerings.
Keith D. Taylor: I think anytime you think about a more - the higher the interconnection, the more margin that there is to offer. So our primary sites, rich interconnection sites which are Silicon Valley 1s and Chicago 1s and the like, the premium is generally more attractive than what I just alluded to because there is the scarcity of supply and so from that perspective we are able to generate a higher margin off that space versus, say, a large rural build like we do out in the Chicagos or the El Segundos, where we don't actually have the same density of networks. So we enjoy a higher premium in those markets than we do in the larger footprint in the rural markets, suburban markets.
Winston Lin - Goldman Sachs: And maybe just on CapEx, is there a potential to get discounts from equipment vendors that could help drive down the cost of the expansions in 2009?
Keith D. Taylor: Absolutely. You know, we as a company, when we originally looked at our guidance we substantially reduced the amount of CapEx and part of it was because of exchange rates and part of it was due to pricing. And so in both cases, when you think about the announced projects that we have today - $285 million, that's what was announced thus far relative to the guidance range that we've talked about - a lot of that originally, when we gave our first guidance back in October, we probably took that down as I think back today $35 - $40 million. Part of it came from, as I said, exchange, because the currency's dropped dramatically in Europe and we were funding it from here, and part of it did come from the price points. And we're able to renegotiate contracts and get better pricing in a number of our markets.
Operator: Your next question comes from Chad Bartley - Pacific Crest Securities.
Chad Bartley - Pacific Crest Securities: First question, you seemed to stress the point that timing around planned expansions will impact bookings and revenue recognition. I'm just curious if the current environment is presenting more challenges and more risks around those plans and getting them done on time. And then the second question is just on gross adds. That seemed to be a strong number given the environment. Was that in line with your expectations or was that also a surprise for you?
Stephen M. Smith: On the gross adds front, Chad, no because we knew, as we talked to you guys last quarter, that we softened with new customers making decisions as they finished out their '08 year and were trying to put their '09 budgets together and they really could wait a month or two. A lot of these decisions now, quite frankly, are going up to C level, so there's no question that there's a softness in decision making internally with these companies and we've got to push a little bit harder. And I would tell you we're working harder around the world to get deals done. There's no question. But it wasn't a great surprise because we just kind of hunkered down and a lot of these deals that we thought were very close to being decided in the fourth quarter got decided in the first quarter, so I don't think it was any more sophisticated than that. And your first question, Chad, was?
Chad Bartley - Pacific Crest Securities: I'm just curious. I think two or three times you talked about just your planned expansions and how that'll impact bookings and rev recognition, and I'm curious if it's more difficult now or if it's pretty much status quo.
Stephen M. Smith: No. You mean, in terms of getting these things opened on time and on budget?
Chad Bartley - Pacific Crest Securities: Absolutely, yes.
Stephen M. Smith: No. No, the challenges we've faced recently are permitting related in a couple of markets. So they're things that are sort of out of our control, not things we don't understand. But no, we've not had any challenges in terms of the team executing on getting these things open on time and on budget, so that's not holding us back. The timing comment was tied to where we've told you guys these things are opening up and the fact that we're in a restricted status right now, so we're very selective on who we can put in until we have more capacity. So as soon as that capacity opens up we can start to push more volume into it.
Operator: Your last question comes from Richard Fetyko - Merriman Curhan Ford & Co.
Richard Fetyko - Merriman Curhan Ford & Co.: Just a follow up on that question. I think you also mentioned that some of these new customers are coming on with perhaps somewhat modified contracts in terms of their fill rates or how quickly they'll fill in the space that they're contracting and therefore how you're going to bill, the timing of the billing. Could you elaborate a little bit on that? Are you just being a little more flexible with some of these new customers in terms of the time period that you require them to fill the space? Is that what you mean?
Stephen M. Smith: Yes. We refer to these as ramps. We've been doing it for a long time. It's a technique or tool the sales team has to get deals closed and it helps us be flexible at a time when a customer is having a tough time predicting how quickly they want to ramp up their installs. So it's not a new thing we've been doing. I would just tell you in this quarter, since we were so back end loaded in March, it looks like when you look at the data that we were a little bit more ramped than we normally are. So we're delayed in when we can start billing and that's the impact of that. But it's just the nature of the sales cycle now; the nature of the decisions are a little bit tougher and we're having to be a little bit more flexible with certain customers.
Richard Fetyko - Merriman Curhan Ford & Co.: And then the reason behind the legacy customer who's leaving the Silicon Valley data center. What reasons can you give us that this customer's leaving for? Were you trying to push some price increases that just didn't go through with that customer or were there other reasons? What are they doing in replacement of your Silicon Valley data center?
Keith D. Taylor: I'd tell you there's two things that come to mind. Number one, the customer is looking at - they've built some of their own capacity and they're looking to reduce their costs. And for those two reasons they have made a decision to relocate. I still want to be clear - this is still a very good customer of ours. They're in multiple sites with us. It was a larger server footprint that will be relocating and it typically is a footprint that we would otherwise have taken. It is a legacy account that dates back six years. And so, given what's going on I think in this company's environment, they have made the decision that they're going to consolidate into their own locations and for that reason they're going to churn out. But overall I still feel very good and they're going to be a very large peering customer with us as we move forward.
Stephen M. Smith: It's safe to say we'll have no problem filling that space up, as Keith alluded to earlier, also because of the network density in the location of that site.
Richard Fetyko - Merriman Curhan Ford & Co.: I guess that just kind of prompted a couple other questions in terms of so you're saying the customer's in multiple sites and they're consolidating those multiple sites into their own location, so they're leaving from [inaudible] Silicon Valley data center from other sites as well?
Keith D. Taylor: No. I don't know what they're doing in other sites. I can't speak of what they might be doing with some of our competitors. What I can tell you is they're going to maintain a number of locations with us and in fact this same customer is going to build a new facility, new deployment with us, in one of our non-U.S. markets. So these things happen all the time. It's just of a size that we want to make sure that we telegraph it and it's going to cause us to be around the 2 percentage range on the quarterly churn in Q2 and Q3. But this is, again, a very good customer. It's very similar to the discussion point we had a number of years ago about our Google churn. They still are a very good customer of ours, Google, and the customer I'm referring to today is going to continue to be a very good customer with us and grow in multiple markets, just not in this particular market, with us. They're going to stay in our Silicon Valley 1 property, but they're going to relocate out of another Silicon Valley property.
Stephen M. Smith: Said differently, it's like Keith said, it's a server farm. It's a big deployment that was deployed here years ago that probably today we wouldn't even entertain taking. It's actually a good thing for us.
Richard Fetyko - Merriman Curhan Ford & Co.: And then lastly, in the U.S. you mentioned that you're somewhat capacity constrained - a good and bad problem - just wondering, do you feel like you've missed any opportunities in some of those capacity constrained data centers perhaps that you couldn't fulfill because of the requirement for large contiguous space in some of these RFPs?
Stephen M. Smith: Sure. It's fair to say we've ceded competitive installations on a regular basis in some of these markets where we haven't had capacity. So yes, that's just the nature of this business.
Jason Starr: This concludes our conference call today. Thank you for joining us.
Operator: Thank you.